Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2022 LATAM Airlines Group Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. Before I turn the call over to management, I'd like to remind you that certain statements in this presentation and during the Q&A may relate to future events and expectations and as such constitute forward-looking statements. Any matters discussed today that are not historical facts, particularly comments regarding the company's future plans, objectives, and expected performance or guidance are forward-looking statements. These statements are based on a range of assumptions that LATAM Group believes are reasonable but are subject to uncertainties and risks that are discussed in detail on our CVM and SEC filings. The company's actual results may differ significantly from those projected or suggested [ in any ] forward-looking statements due to a variety of factors which are discussed in detail in our SEC filing. And if there are any members of the press on the call, please note that for the media, this is a listen-only call. I would now like to hand the conference over to your speaker today, CFO of LATAM Airlines Group, Ramiro Alfonsin. Please go ahead.
Ramiro Alfonsín Balza: Thank you, Gigi. Hello, everyone, and good morning. Welcome to our fourth quarter 2022 conference call and thank you for joining us today. My name is Ramiro Alfonsin, and I am the CFO of LATAM Airlines Group. Here with me today is Mr. Roberto Alvo, CEO of LATAM Airlines Group; Mr. Andres Del Valle, VP of Corporate Finance; and Tori Creighton, Head of Investor Relations. And we will present our highlights and results for the fourth quarter 2022. Let me start by saying we are delighted to have this instance again after having our conference calls with the market on hold due to our restructuring proceedings. As you all know, on November 3rd last year, we successfully emerged from Chapter 11 and are proud to inform that as a result, we currently have a strengthened cost structure, a strengthened capital structure and solid market share in all of the markets that we operate. All this places LATAM without a doubt as an industry leader for the future. I'd like to pass the presentation to Roberto to set the stage for our fourth quarter results.
Roberto Alvo Milosawlewitsch: Thank you, Ramiro, and hello, everyone. It's a pleasure being with you this morning. As we reflect on the end of 2022 and LATAM's successful emergence from its Chapter 11 proceedings, it is helpful to remember where things stood back in 2020. The pandemic had a devastating impact on the industry and thereafter threatening the collapse of the air travel industry on a global scale. For LATAM Group, this was reflected in a reduction of 95% of our operations during the worst part of the pandemic. Following this complicated situation, LATAM Group was forced to file Chapter 11 on May 26, 2020. And as a result of the restructuring, LATAM Group has emerged with one of the most competitive and efficient cost structures and liquidity levels in the region and globally. This wouldn't have been possible without the constant support from our employees, our suppliers, our clients, our shareholders and investors during these difficult times, and it's important to remember that. As a result of our restructuring process, we were able to reduce our debt significantly, accompanied by a relevant increase in our liquidity levels. With respect to debt, we decreased our gross debt by $3.9 billion from $10.4 billion to $6.5 billion as of December 31, 2022. In terms of leverage, LATAM ended the year with net financial debt to EBITDAR of 4.2x, despite a challenging first half of the year due to the Omicron variant. In terms of liquidity, even following the devastating effect that the crisis had on the players of the region, we were able to increase our liquidity from $1.3 billion to $2.3 billion after our Chapter 11 emergence. As of December 31, 2022, our liquidity was 24.3% over last 12 months revenues. Another important result of the financial restructuring was the simplification of our debt structure. The $6.5 billion in debt comprised of approximately $4.3 billion of financial debt and $2.2 billion in operating leases. When we look at our debt maturity profile, it is very important to highlight that LATAM has no significant non-fleet debt maturities in the next 4 years. As of today, LATAM only has maturities coming from our exit financing due in 2027, including $450 million 5-year notes and a Term Loan B of $1.1 billion. It is worth mentioning that these 5-year notes and the Term Loan B, both amounting to more than half of the exit financing, can be replaced starting in 2024. When we look at our costs, we're delighted to mention that following the cost savings measures carried out during the restructuring totaling over $1 billion, LATAM has been able to reduce its unit costs when compared to the pre-pandemic levels and offset several years of inflation. This was done by focuses on simplification and automation of processes as well as negotiation of contracts, the use of digital tools, and data analysis. This has resulted in LATAM having an extremely competitive cost structure on an absolute basis, and on a relative basis when compared to the U.S. and European most important competitors we have. In the fourth quarter of 2022, we reported a passenger CASK ex-fuel of $0.04, which is 6% lower than in the same period in 2019 that was $0.43. That's even taking into account the significant inflationary pressures that the region and the world have experienced during that period of time. When one looks at the available [ public ] information of other carriers in the region and select U.S. carriers who didn't go through restructuring, you can easily conclude that the trend is the opposite, with increasing unit cost, especially following the inflationary pressures worldwide. The fleet negotiations played a major role in this result. After filing for Chapter 11, LATAM was able to renegotiate most of the existing and upcoming fleet leasing contracts in the midst of the pandemic during exceptional and challenging times for lessors and financiers. As a result, the fleet cash cost is over 40% lower than pre-pandemic 2019. In 2022, this was approximately $800 million and in 2023 estimates for the total fleet cash costs for both operating and financial leases will be between 700 and $800 million. When we look at the group network and despite the gap in operations vis-a-vis 2019 levels, we can note that in terms of destinations, the network is already fully recovered. As of December 2022, the group operated 144 destinations in 22 countries, which is already in line with the number of destinations operated prior to the pandemic in 2019. During 2022, the group transported more than 62 million passengers, more than in any other airline in the region. This is mainly the result of a solid and competitive market shares accompanied by an efficient cost structure and healthy levels of liquidity. This new cost structure facilitated the opening of new routes that wouldn't have been profitable otherwise. As a result, in 2023, LATAM Group will have 38 new routes operating versus pre-pandemic, continuing to increase capacity always keeping in mind profitability and cash generation as key drivers. LATAM Group has also been able to strengthen its respective market shares where its affiliates operate -- LATAM Group affiliates and currently first in market share in 3 of the 5 domestic markets where they operate, Brazil, Chile and Peru. In the first quarter, LATAM Group continued to see strong load factors, loyalty of customers, and an improved maintenance service and offering reflected in better book RASK in 2019 vis-a-vis first quarter of 2019. Finally, despite the challenging environment, LATAM has launched a sustainability strategy, A Necessary Destination, we call it, in May 2021, and it's a solid reflection of our commitment to sustainability and ESG practices as part of the LATAM realization of the role and responsibility that the group has with the planet, the communities, and the customers and shareholders. As you might be aware, this strategy is based on 3 pillars: climate change, circular economy, and shared value, and establishes the goals of carbon neutrality by 2050, with a reduction of 50% of carbon emissions in domestic operations by 2030, eliminate single-use plastics by the end of this year, have a target of 5% of 2030 total fuel consumption comes from Sustainable Aviation Fuels and zero waste to landfills by 2027, among other things. During 2022, LATAM made an important announcement with respect to our sustainability agenda. At the end of last year, LATAM announced the expansion of the alliance with the Cataruben Foundation in the project of CO2Bio located in the Colombian Orinoquia wetlands region, which aims for the conservation of 575,000 hectares. This is more than 0.1% -- 0.5% of the surface of Colombia, expecting to capture more than 11 million tons of CO2 by 2030. As a result of LATAM's continuing effort, it was once again recognized by S&P in its Corporate Sustainability Assessment as most sustainable airline in the Americas and Europe and fifth worldwide in terms of its environmental, social, and governance sustainability practices. With that, and thanking you again for being here, I turn the presentation over to Ramiro to take a closer look at our fourth quarter financial performance. Thank you very much.
Ramiro Alfonsín Balza: Thank you, Roberto. With regard to the operations on Slide 7, the group has been able to recover passenger operations to 82% of 2019 levels in the fourth quarter of 2022. The group's operation increased 31% in comparison with the same quarter of 2021. Consolidated RASK increased 11% in the fourth quarter vis-a-vis 2019 levels, in a context marked by strong demand for air travel and by high jet fuel prices. During the fourth quarter, LATAM Group continued to increase its passenger capacity. International operations represented 43% of the quarter's capacity, followed by domestic Brazil with 36%, and Spanish-speaking countries with 21%. It is worth noting that the recovery of the operations has been accompanied by a healthy consolidated load factor of 81%. Cargo also continues to be an important pillar for the group's operations, already surpassing 2019's capacity. No one offers the one-stop-shop cargo solution with the capillarity and network offering or facilities and capabilities like LATAM in the region. Cargo revenues in 2022 increased 62% versus 2019, moving on from representing 10% of the revenues in 2019 to 18% in 2022. On Slide 8, you can see that this quarter, LATAM registered an adjusted operating margin of 8%, better than expected when compared to our updated business plan from August 22. In Q4, EBITDAR amounted to $467 million and an adjusted EBITDAR of $520 million. Total operating revenues were almost in line with 2019 levels. And as operations continued to recover, passenger revenues were 7% below the same period of 2019, while cargo revenues continued to surpass 2019 levels with a notable 50% increase in Q4 of 2022, mainly explained by the healthy levels of cargo demand and yields, further propelled by the increase in LATAM's cargos capacity. Total adjusted operating costs during the quarter increased 0.2% versus 2019, mainly explained by the increase in the aircraft fuel cost line, which increased 44% versus 2019, following a 67% increase in fuel price during the quarter compared to 2019. Ex-fuel operating expenses were down 18% from 2019 levels. As a consequence, LATAM reported a passenger cost per ASK ex-fuel of $0.04, 6% lower than in 2019, reflecting the group's important cost-saving initiatives that are already fully implemented. Finally, LATAM registered a net income attributable to the owners of the parent company of $2.5 billion for the quarter and $1.3 billion for the year. It is worth mentioning that this last result is mostly explained by extraordinary gains related to the restructuring activities attributed to our emergence from Chapter 11. Due to the group's accumulated losses, this will not result in the payment of dividends based on 2022 net income. As you can see on the next slide, LATAM Group has seen a sustained improvement in its capacity, reaching almost pre-pandemic levels with a noticeable path of recovery in the past quarters. The financial results have mirrored this recovery with healthy numbers and the best last 12 months EBITDAR since the Chapter 11 filing. Lastly, I would just like to highlight that the full year EBITDAR was approximately $1.3 billion. Let's turn to our cash flow statement on Slide 10. In the fourth quarter 2022 and for the full year of 2022, LATAM generated a strong operational cash flow of $1 billion for the year and $400 million for the fourth quarter. This was mainly due to the recovery in operations and the ramp-up in demand during the year. As a result, LATAM was able to cover its investments, including maintenance and growth, which mainly consisted of engine maintenance, part of which were staggered during the pandemic. This positive operational cash flow also resulted in a positive unlevered free cash flow. The exit from Chapter 11 in the fourth quarter provided fresh fronts to LATAM, enabled the group to reach its liquidity target, and also to be prepared for possible external shocks or opportunities. At the end of the quarter, LATAM had a positive change in cash of 320 and $170 million for the full year of 2022. Our liquidity, as Roberto mentioned, amounted to $2.2 billion, representing 24% of last 12 months' revenues. As you can see on the graph on the left-hand side on Slide 11, LATAM has a well-diversified revenue structure. During 2022, the group's international operations amounted to 33% of revenues, domestic Brazil to 28%, domestic Spanish-speaking to 18%, and cargo to 18%. In addition, and due to LATAM's exposure to international markets and the [ tickets ] indexation to strong currencies, LATAM Group has a unique currency structure in the region. During 2022, 60% of our revenues were in dollar or euro, while the remaining 40% was in other currencies, mainly Brazilian real and Chilean pesos. This revenue in strong currency is a key differentiating factor. Most of the costs in the airline industry are in dollar-denominated such as fuel, fleet, debt, and maintenance. LATAM has a unique natural FX hedge due to our revenue structure. Furthermore, for the LATAM Group, the JV with Delta Air Lines represents an important opportunity, and we are very excited to be working with Delta in its implementation. The carriers will have the largest capacity share between North and South American markets within the JV scope where we are allowed to coordinate capacity and pricing and share corporate account information. As per our 2023 guidance in Slide 12, we are expecting to grow an average of 20% in 2023, particularly in the international segment where we see strong demand and have a unique cost structure. LATAM expects to register an adjusted EBIT margin between 6% to 8% in 2023, representing an upside of 1.5 percentage points compared to the 1 percentage in our business plan. With regard to adjusted EBITDAR, LATAM expects to reach between $2 billion to $2.2 billion in 2023, [ representing ] again an upside when compared to our projected business plan and in line with 2019 levels. Additionally, and very important to us is our capital structure. Leverage in 2023 is expected to be 3x, the lowest that LATAM will have in over 10 years. Please turn on Slide 13. In the context of restructuring proceedings, LATAM carried out a capital increase of approximately $10.3 billion, comprised of an equity rights offering of $800 million plus $9.5 billion through 3 different series of convertible notes that resulted in a cash injection for the company of approximately $5.4 billion. As of February 28, 2023, 99.8% of the underlying shares are already subscribed and paid for. As a result of this, according to SEC filings, Sixth Street Partners owns 28% of our total shares outstanding, followed by Strategic Value Partners with 16%, Delta Air Lines with 10%, Qatar Airways with 10%, and Sculptor Capital with 6.5%, and the Cueto Group with 5%. The LATAM never lost focus on the value proposition and its customers. As a result, the group continued to transform the experience of our passengers through cabin retrofits across our narrow-body fleet. During 2022, we retrofitted 81 aircraft, thereby completing 90% of all of our narrow body fleet transformation. LATAM was also recognized as South American leading airline in several prestigious awards in the industry. Let me conclude in Slide 15. As final takeaways, LATAM has ended 2022, a milestone year, with $1.3 billion of EBITDAR, $2.3 billion in liquidity, and leverage of 4.2x. This is the result of the Chapter 11 transformation and dedication to continued operational and financial recovery from the pandemic impacts. The trend of improving results presented here today, the competitive position that we hold both in terms of cost and capital structure, and our unique network in the region gives us great confidence in our ability to deliver on our guidance for 2023. Thank you for your attention, and we would like to open the floor for any questions.
Operator: [Operator Instructions] Our first question comes from the line of Stephen Trent from Citi.
Stephen Trent: Can you hear me okay?
Ramiro Alfonsín Balza: Yes, Stephen.
Stephen Trent: And apologies as I did not have access to your slides, but that was my fault. I'm just trying to -- curious in terms of your thoughts on expansion into other markets. So any high-level thoughts, for example, whether you'd be interested in entering Mexico's domestic market in the event that the AMLO administration approved cabotage, for example, going back to Argentina's domestic market. Would just love to hear your thoughts on that.
Roberto Alvo Milosawlewitsch: Stephen, this is Roberto. Thanks for the question. So I guess our focus in the short term is to make sure that we recover the capacity that we have until 2019. We have a lot of growth in front of us. And immediately, our focus is in the 5 domestic markets where we have operations as well as developing our international network and even growing it beyond what we had prior to '19. As you probably saw, we announced Guarulhos-Los Angeles, for example, and Bogota to Orlando together with Delta over the last few weeks. We're interested in the possibilities of expanding, of course, in the region most likely. The situation in Colombia means that we see an opportunity of a stronger position in that market in particular. And in the short term, our focus is in South America, I would say. So I'm not discussing anything either in Mexico, as you mentioned, or in Argentina. But I would say that the focus today is in the 5 countries where we are. So this is the guiding principle at least for now.
Stephen Trent: Great. I appreciate that. And apologies if I missed, but any high-level view on the potential timing for a Level 2 ADR listing?
Tori Creighton: Steve, this is Tori here. As for the Level 2 ADR listing, we are currently, as you know, still trading over-the-counter basis. However, it's still LATAM's intention to relist on the New York Stock Exchange. We're currently evaluating what that timing would be like, depending on several different factors, and we'll update the market when we have any information to respect.
Operator: Our next question comes from the line of Savi Syth from Raymond James.
Savanthi Syth: Congrats on completing the restructuring and on this call. Can I ask you, one of the things that was kind of new since the pandemic that was introduced pre-pandemic but not really executed on was the Delta JV. Could you talk a little bit about the developments there and how you expect that to contribute going forward?
Roberto Alvo Milosawlewitsch: Savi, this is Roberto, again. I'll answer the first part of the question, and then I'll hand it up to Ramiro for any additional remarks. So as we know, we were approved by all the authorities last year. The last approval was DOT in October of last year. So that means that from that day on, we declared the JV effective, and we started to work together. We are, I would say, in advanced stages of the setup phase of this, making sure that the teams know each other, align, and start working together. We are very optimistic about the prospects, and we are very -- feel very good about the relationship and how the teams have come together very quickly, very seamlessly in terms of trying to find ideas and solutions. So I'm personally very optimistic on the development of this. We very quickly launched already or announced 2 routes. The ones I already mentioned, Delta [ also upgraded ] its product from Atlanta to Lima and Atlanta to Santiago, and those are very encouraging first steps in this relationship. It will take a couple years for us to be on a run rate basis, but the start is a very, very good one and one that has us in LATAM very excited going forward. Ramiro?
Ramiro Alfonsín Balza: Yes. Completely agree. Savi, it's great to hear from you again. So yes, we're very excited. Teams are working very hard. The possibility -- the ability to share capacity and pricing and corporate accounts is very unique, and we see a lot of opportunities there, and allowing our customers to benefit from the 300 destinations that Delta has in North America is quite unparalleled and becoming the largest carrier between the traffic of the JV scope between South America and North America is very unique. So we're very optimistic on what this will mean for our customers and for the company.
Savanthi Syth: Appreciate that. And then if I might, on the -- it looks like based on the unit revenue contribution in the fourth quarter here by the various regions and the way you're growing capacity, it seems like fairly good recovery across different regions. But could you talk a little bit about what you're seeing in demand here? If there is corporate demand recovering, is it leisure demand, and just generally in the 3 different entities, if there's any more strength in one over the other?
Roberto Alvo Milosawlewitsch: Yes. Savi, it's Roberto, again. So it's March already. We have seen, I would say, healthy levels of demand in most segments, in almost all of the regions and countries where we operate. It looks like a solid first quarter in terms of our unit revenues in most of our business units. Corporate traffic has recovered very close to 90% of passengers today, 88%. And the post-holiday moment here, remember that summer this year has started on a very healthy note. So for the time being, we are optimistic about the developments of the demand. Things that concern us, basically, the situation in Peru. As you saw the unrest and that had an impact on demand, both for domestic Peru and for inbound traffic from U.S., Mexico, and Europe to Peru. This is getting better as the country has a little bit more stabilization, but that, I would say, has impacted some in the first 2 months of the year.
Operator: Our next question comes from the line of Guilherme Mendes from JPMorgan.
Guilherme Mendes: Congrats on the first results post Chapter 11. Two questions on our end. The first one on the competitive environment. So thinking in terms of the Brazilian market and taking into account the GOL and Azul just announced a recent liability management process, how is the competition in the region? And also in terms of Colombia, given the Viva Air situation, if there's any updated news regarding the potential consolidation in the market? And my second question is regarding the fleet management. So we have been seeing some bottlenecks from the industry, OEMs delivering -- delaying some of deliveries. If you see any risk on your current fleet plan going forward?
Roberto Alvo Milosawlewitsch: Guilherme, Roberto on this side. So Brazilian domestic and international markets where, I would say, healthy in the fourth quarter. There's a little bit of a lag between Brazil and the U.S. as well. There's a bottleneck in visa emissions for Brazilians going to the U.S. because of the pandemic. So I would say that that is a market that has been significantly impacted in the last few months on the Brazilian point of sale. We see -- of course, the pandemic is impossible to erase from balance sheet immediately. We chose a restructuring path in 2020. They were 3 very complicated years, but we feel that the decisions we took and where the company stands today was the right decision given what we're seeing today. And all the companies, whether it's in the region or outside region that did not restructure at the time, have, in my view, of course, to bear all the impact of the pandemic on the balance sheets and the cost structures and the situation and liquidity. So that, I think, marks a very significant difference from the position that LATAM is today vis-a-vis all these other companies that chose to do otherwise. Having said that, I think that our take on the Brazilian market is an optimistic one in terms of traffic going forward, but we've [ had those discussion just ] because we understand that this is going to be a volatile year, not only in terms of the economic situation of the countries and the currencies, but also the fuel prices, particularly due to the war. In Colombia, there's an important company called Viva Air who stopped its operations about 10 days ago. That was a little bit more than 20% of the market. We have brought 5 aircraft to Colombia during this month. 2 of them are already operating. The other 3 will be operating by the end of the month. And we see this as an important opportunity to increase the product that we have, make it better, more competitive for both Colombian passengers and for people that want to fly internationally in and out of Colombia. So in that sense, we see this as an important opportunity to strengthen our position in one of the most important markets in the region, actually the second largest after Brazil.
Ramiro Alfonsín Balza: Yes. Regarding fleet, Guilherme, this is Ramiro. And thank you for your question. We are aware of the supply issues that OEMs are facing. We have discussed with them. We are planning to receive 15 neos in 2023. And we feel very confident that the growth path that we have set on our guidance can be achieved with the aircraft that we have, plus the ones that we're going to be receiving according to the latest schedules. In addition to that, we have certain aircraft under PBH that allows us to grow or to modify our growth plan. This is quite a [ similar ] industry, but we negotiated, as during the Chapter 11, having this payment by the hour on certain aircraft that allows us to adapt capacity if needed in the plan. So we're confident we can deliver on the growth plans for 2023.
Operator: Our next question comes from the line of Neil Glynn from AIR Control Tower.
Neil Glynn: If I can ask 2 questions, please. The first one with respect to cargo within your outlook for 2023, we've obviously seen a deceleration in growth rates in the fourth quarter of 2022 as cargo yields normalize. So interested in your thoughts as to 2023's cargo revenues? And then the second question, in the presentation, you highlighted LATAM Pass membership is up 65% on 2017 levels, which is quite an impressive uplift. Interested in your thoughts on what benefits has this had already on revenues thus far? And any plans you have to leverage this critical mass further in the future?
Roberto Alvo Milosawlewitsch: Neil, Roberto, again. I'll take the current question. I'll pass it to Ramiro for the frequent flyer. So yes, we have -- we are aware and seeing the slowdown in cargo towards the end of last year, and this is impacted by, of course, the uncertainty of the economy, the situation in China. Remember that there was a big lockdown in China because of COVID at the end of last year. That relative weakness that is still leave us in better levels than 2019 is there in the market. It hasn't subsided or changed significantly. In the region, on top of that, weather has impacted flower production out of Colombia. Approximately, 20% of the flower production in Colombia was lost to very heavy rains. So that has an additional impact on flower exports from Colombia to the U.S. It was impactful actually for Mother's Day. And this will be recovered in a few months. But those are, I would say, trends that have softened a little bit the demand for cargo in the last months. Our outlook for the rest of the year is positive nonetheless. We still are in the process of converting up to 10 767 passenger aircraft for freighters. We are on track with that conversion, and we feel good about the added capacity that we will have and the ability that we will have -- that will keep us in opening new markets and better competing in the ones where we are.
Ramiro Alfonsín Balza: Yes. Just to complement that, Neil, in the business plan that we put forward, we were assuming already the softening on the yields on the cargo front, and that was already embedded into the business plan. Regarding LATAM Pass, as you said, we have 42 million members. It is very important for the cash stream -- cash flow generation for the company. It represents normally approximately now a little north of 10% of our load factor in our aircraft, and we're investing a lot in the experience from the customer. We're investing in a new app in Brazil. We have launched the Club successfully in the last month. Now we're putting in initiatives of using miles plus cash to purchase the tickets. We're also investing in new agreements for the non-air channels. And we have very strong partnerships with the leading banks in the region. As you know, in Chile, we're partnering with Banco Santander, in Peru with Banco de Credito del Peru, in Brazil we have agreements with numerous banks. And we think there's a lot of angles still to tap on the LATAM path, but we're in the process of launching these initiatives in 2023.
Operator: [Operator Instructions] Our next question comes from the line of Joao Frizo from Goldman Sachs.
JoÃ£o Francisco Frizo: Yes. I have a follow-up on the pricing environment. If you guys could please provide us with an overview on the pricing environment across the 3 segments in light of the falling jet fuel prices. Do you guys foresee you will be able to hold prices in order to improve margins? Or are you already seeing the need to reduce tariffs, and therefore, pass through those lower jet fuel prices -- jet fuel costs into prices?
Roberto Alvo Milosawlewitsch: Joao, it's Roberto. Thanks for the questions. So far, and during this quarter, we have seen a very healthy pricing environment on most of the markets where we operate. Demand has stayed strong in all segments. We have seen a good leisure period for high-season summer holidays, and as people come back from holidays as well, we are seeing the corporate segments also presently in a good way. So we are confident and we feel good about the current environment and the pricing. And the things we're watching, of course, is the impact of the economies and how they fare during the year. And that I would say it's something that we need to be very close to and watch. But in general, we see a good situation in all of the passenger business. In the case of cargo, as we already mentioned, pricing has softened a little bit because of lack of demand, still above 2019 levels, as Ramiro said, embedded in our business plan. But that's probably where we have seen yields -- cargo yields, in this case, soften a little bit vis-a-vis 2022.
Operator: At this time, I would now like to turn the conference back over to Ramiro Alfonsin for closing remarks.
Ramiro Alfonsín Balza: Thank you, Gigi, And thank you, all again for joining us today. Our Investor Relations team is around for further questions. Have a very good day and a nice weekend.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.